Operator: Good morning, and welcome to Ryder System, Inc. Second Quarter 2016 Earnings Release Conference Call. All lines are in a listen-only mode until after the presentation. Today's call is being recorded. If you have any objections, please disconnect at this time. I would like to introduce Mr. Bob Brunn, Vice President, Corporate Strategy and Investor Relations for Ryder. Mr. Brunn, you may begin.
Robert S. Brunn - Vice President, Corporate Strategy & Investor Relations: Thanks very much. Good morning and welcome to Ryder's second quarter 2016 earnings conference call. I'd like to remind you that during this presentation, you'll hear some forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are based on management's current expectations and are subject to uncertainty and changes in circumstances. Actual results may differ materially from these expectations due to changes in economic, business, competitive, market, political and regulatory factors. More detailed information about these factors is contained in this morning's earnings release and in Ryder's filings with the Securities and Exchange Commission. Presenting on today's call are Robert Sanchez, Chairman and Chief Executive Officer; and Art Garcia, Executive Vice President and Chief Financial Officer. Additionally, Dennis Cooke, President of Global Fleet Management Solutions; John Diez, President of Dedicated Transportation Solutions; and Steve Sensing, President of Global Supply Chain Solutions, are on the call today and available for questions following the presentation. With that, let me turn it over to Robert.
Robert E. Sanchez - Chairman & Chief Executive Officer: Good morning, everyone, and thanks for joining us. This morning we'll recap our second quarter 2016 results, review the asset management area and discuss the current outlook for our business. Then we'll open the call for questions. With that, let's turn to an overview of our second quarter results. Comparable earnings per share from continuing operations were $1.56 for the second quarter of 2016, down 5% from the prior year. Second quarter 2016 comparable results exclude $0.09 of non-operating pension costs, as well as $0.09 of pension-related charges from certain benefit improvements made in 2009 that were not fully reflected in our projected benefit obligation. Last year, comparable earnings excluded $0.05 of non-operating pension costs, $0.02 in professional fees associated with cost savings initiatives, and $0.03 in benefits from state law changes. Despite a challenging freight environment that impacted our rental and used vehicle businesses, results were modestly above our comparable forecast range of $1.50 to $1.55, reflecting organic growth in our contractual businesses and lower overheads. Operating revenue, which excludes fuel and subtracted transportation grew by 4% to a record $1.4 billion for the second quarter, and was higher in all business segments. Excluding the impact of foreign exchange, operating revenue grew by 5%. Total revenue increased by 2% and was impacted by lower fuel costs passed through to customers. Page five includes some additional financial information for the second quarter. The average number of diluted shares outstanding for the quarter increased slightly to 53.4 million shares, up from 53.3 million shares last year. We began implementing our previously-announced 2 million share anti-dilutive repurchase program in the second quarter, earlier than originally anticipated. The plan allows management to purchase up to 1.5 million shares issued to employees after December 1, 2015, and another 500 shares from the former plan that were not repurchased prior to expiration. During the quarter, we bought approximately 322,000 shares at an average price of $68.05. Excluding pension costs and other items, the comparable tax rate was 36.9%, largely consistent with the prior year. Page six highlights financial statistics on a year-to-date basis. Operating revenue grew 6% to $2.9 billion. Comparable earnings per share from continuing operations were $2.68, down 1% from last year. The spread between adjusted return on capital and cost of capital decreased 120 basis points, down from 140 basis points in the prior year, driven primarily by lower performance in commercial rental and used vehicle sales. For the full-year 2016, we now expect this spread to be 100 basis points at the low end of our prior forecast range of 100 basis points to 110 basis points, reflecting lower expected commercial rental performance. I'll turn now to page seven and discuss some key trends that we saw in the business segments during the quarter. Fleet Management Solutions' operating revenue, which excludes fuel, grew 4%, driven mainly by growth in full-service lease. Lease revenue increased 9% due to fleet growth and higher rates on replacement vehicles, reflecting the higher cost of new vehicles. The lease fleet grew organically by 6,500 vehicles year-over-year, excluding the impact from the planned reduction of UK trailers. Sequentially, the lease fleet increased by 1,300 units excluding UK trailers, bringing our year-to-date lease fleet growth to 3,000 vehicles. We continue to benefit from favorable outsourcing trends, as well as our sales and marketing initiatives. So far this year, approximately 40% of our new lease sales came from customers new to outsourcing, up from about a third last year. Contract maintenance revenue increased 4%. The average contract maintenance fleet grew by 6,200 vehicles from the prior year and 1,500 sequentially, reflecting new customer wins. Contract-related maintenance revenue was up 11% from the prior year. Included in contract-related maintenance are 7,600 vehicle serviced during the quarter under on-demand maintenance agreements, a decrease of 8% from the prior year, but sequentially up 7%. Commercial rental revenue was down 10% for the quarter. Global rental demand was lower by 9%, driven primarily by lower demand for tractors. Global pricing on power units decreased nearly 1% for the quarter. The average rental fleet decreased 7% year-over-year. The ending rental fleet was down by 3% or 1,400 vehicles sequentially from the first quarter, and down 11% or 5,000 vehicles year-over-year, as our centralized asset management team executed our plan to shrink the rental fleet in light of softer demand. We've downsized the rental fleet by both redeploying vehicles into lease contracts and taking vehicles to our used-truck centers for sale. Vehicles redeployed into other applications nearly doubled from last year. This activity reduced the amount of capital needed to fulfill new customer contracts, which benefited cash flow. Rental utilization on power units was 74.7%, down 340 basis points year-over-year, primarily reflecting lower tractor demand. Used vehicle results were down year-over-year due to lower used vehicle pricing, primarily on tractors. I'll discuss those results separately in a few minutes. Overall, FMS earnings decreased due to lower commercial rental results and lower used vehicle pricing, partially offset by higher full-service lease results. Earnings before taxes in FMS decreased 9%. FMS earnings as a percent of operating revenue were 11.2%, down 160 basis points from the prior year. Used vehicle performance negatively impacted year-over-year EBT margins by 200 basis points. I'll turn now to Dedicated Transportation Solutions on page eight. We continue to see strong revenue growth in Dedicated driven by up selling lease customers into driver services, as well as new out sourcing activity. Total revenue grew 16% and operating revenue was up 10% due to new business, as well as higher pricing and volumes. DTS earnings increased 32% due to lower self-insurance costs and operating revenue growth. Segment earnings before taxes as a percent of operating revenue were 8.5%, up 150 basis points from the prior year. I'll turn to Supply Chain Solutions on page nine. Total revenue was up 1%, as higher operating revenue was partially offset by lower third-party purchase transportation costs and lower fuel costs passed through to customers. Operating revenue grew 4% due to new business, increased volumes and higher pricing. SCS earnings before taxes were up 2%, primarily driven by new business. Segment earnings before taxes as a percent of operating revenue were 8.6% for the quarter, down 10 basis points from the prior year. At this point, I'll turn the call over to our CFO, Art Garcia, to cover several items, including capital spending.
Art A. Garcia - Chief Financial Officer & Executive Vice President: Thanks, Robert. Turning to page 10, year-to-date gross capital expenditures were just over $1 billion, down $439 million from the prior year. This decrease primarily reflects lower planned investments in our rental fleet, as well as greater amount of used equipment to fulfill leased contracts. We realized proceeds primarily from the sale of revenue-earning equipment of $252 million, up $40 million from the prior year. The increase primarily reflects higher sales volume, partially offset by lower used vehicle pricing. Net capital expenditures decreased by almost $500 million to $763 million. Full-year 2016 gross capital expenditures are now expected to be $1.9 billion, down from $2 billion in our initial forecast. This primarily reflects a greater proportion of used equipment fulfilling lease contracts. Turning to the next page, we generated cash from operating activities of $763 million year-to-date, up 16%. The increase was driven primarily by lower working capital requirements and higher cash-based earnings. We generated around $1.1 billion of total cash year-to-date, up $155 million or 17% from the prior year. Cash payments for capital expenditures decreased by about $200 million to $1.12 billion year-to-date. The company's free cash flow was negative $62 million year-to-date versus the prior year of negative $425 million, reflecting lower capital expenditures, higher operating cash flow and increased sales proceeds. We are increasing our full-year 2016 forecast for free cash flow to $200 million, up from our previous forecast of $100 million. This change primarily reflects the cash flow benefit from the redeployment of used equipment to fulfill new lease contracts. Page 12 addresses our debt-to-equity position. Total debt of $5.6 billion increased by $131 million from yearend 2015. Debt-to-equity at the end of the first quarter decreased to 275% from 277% at the end of the year and is at the top end of our target range of 225% to 275%. Despite a stronger free cash flow outlook, yearend debt-to-equity is forecast to be higher than initially planned due to foreign exchange rates and the pension impact to equity from lower interest rates. We now expect to end the year with a debt-to-equity ratio of 255%. That's 10 percentage points higher than initially planned and just above the midpoint of our target range. Equity at the end of the quarter was just under $2.05 billion, up $60 million from yearend 2015, primarily due to earnings, partially offset by foreign exchange and dividends. At this point, I'll hand the call back over to Robert to provide an asset management update.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thanks, Art. Page 14 summarizes key results of our asset management area. The used vehicle inventory held for sale was 9,100 vehicles, up from 5,900 vehicles in the prior year, and up sequentially by 500 vehicles. Current inventory levels are above our target range of 6,000 to 8,000 and reflect actions taken to reduce the size of our rental fleet. We expect second quarter to be the peak for used vehicle inventory, which should decline to around the top end of our range by yearend. We sold 5,100 used vehicles during the quarter, up by 9% from both the prior year and sequentially. Proceeds per vehicle sold were down 15% for tractors and down 4% for trucks compared to peak prices a year ago. From a sequential standpoint, tractor pricing was down 4% and truck pricing was down 6% versus the first quarter 2016. The number of leased vehicles that were extended beyond their original lease term increased versus last year by around 775 units year-to-date, but was similar to the levels from the prior few years. Vehicles redeployed into other applications nearly doubled to almost 2,700 units year-to-date. This reflects our actions to place excess rental vehicles into lease or dedicated contracts as we downsize the rental fleet. Early termination of leased vehicles increased by around 250 units this year, reflecting higher customer bankruptcies. I'll turn now to page 16 to cover our outlook for 2016. During the second quarter, we continued to focus on mitigating the impact of a challenging environment in our rental and used vehicle sales by growing our contractual businesses, taking timely action to right size the rental fleet and managing our cost. Revenue grew in all business segments, driven by growth in our contractual product lines. In May, we launched two new flexible maintenance products, ChoiceLease Preventive and ChoiceLease On-Demand, which are first for our industry. These products provide customers with new options to obtain leasing and maintenance services as we continue to find innovative ways to penetrate the large, non-outsourced market. In full service lease, we grew by 3,000 vehicles year-to-date, excluding UK trailers. We're increasing our full-year outlook for the lease fleet growth from 3,500 vehicles to 4,000 vehicles, reflecting higher levels of redeployment activity in the first half of the year. We're also pleased that around 40% of new trucks added this year have come from customers outsourcing for the first time. In rental, we lowered our demand outlook for the balance of the year in light of the soft conditions in the Class 8 tractor market and now expect rental demand to be down by 9% for the full year versus 7% in our previous forecast. July demand trends to-date have been slightly worse than June and we're forecasting this to continue into the third quarter. We believe year-over-year demand comparisons will bottom out in the third quarter as we move into easier comparisons later in the year. Despite weaker demand expectations in the third quarter, we expect less negative earnings impact due to the actions we've already taken to reduce the fleet size. We've largely completed the rental fleet reductions needed to account for a softer demand environment, but are planning an additional normal, seasonal de-fleeting in the latter part of the year. We now expect our yearend rental fleet to decline by 11% as compared to our prior expectation of down 8%. The full-year average fleet should be down by 8% versus our prior forecast of 7%. We expect global rental pricing to be flat in the second half of the year. In our asset light maintenance products, we're pleased with continued growth in contract maintenance and market interest in our on-demand maintenance service. We're emphasizing growth in these products as a way to drive revenue and earnings with no additional capital investment required. In used vehicle sales, we expect pricing to be generally consistent with recent trends on somewhat lower sales volumes. Our outlook for Class 8 tractor pricing remains unchanged at 16% to 17% down for the full year. We believe our used vehicle inventories have peeked in the second quarter and should decline in the second half to around 8,000 vehicles. In Supply Chain, we expect mid-single-digit operating revenue growth with stable earnings for the balance of the year. In Dedicated, operating revenue is expected to grow by high-single digits for the full year, although year-over-year growth rates will be lower in the second half due to the timing of new sales. We expect solid year-over-year earnings comparisons to continue for Dedicated. We're reducing our full-year comparable EPS forecast to $5.90 to $6.05, from $6.10 to $6.30, primarily due to our lower outlook for rental demand and used vehicle volumes, particularly Class 8 tractors. Our third quarter comparable EPS forecast is $1.65 to $1.72 versus the prior year of $1.74. That concludes our prepared remarks this morning. At this time, I'll turn it over to the operator to open the line for questions. In order to give everyone an opportunity, please limit yourself to one question and one related follow up if clarification is needed. If you have additional questions, you're welcome to get back in the queue, and we'll take as many calls as we can.
Operator: Thank you. The first question today is from Ben Hartford with Robert W. Baird. Your line is now open.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Good morning to everyone. Robert, I want to kind of dive into the comment that you had made just a moment ago about trends bottoming in the third quarter. Obviously understanding the comps, part of your comps are getting easier, but what are you seeing? You made the comment as well that July is slightly worse than June. Maybe some perspective over how July is performing relative to normal seasonality would be helpful, and then what provides you confidence that trends, in fact, will bottom during the third quarter?
Robert E. Sanchez - Chairman & Chief Executive Officer: Well, I think if you look at demand, let's say, in April when we were – gave the guidance last, demand was down about 14%. And now as we look at July – in the second quarter, it went all the way down to 17%. So I think we – later in the month, we went down from 14% down to 16% and down to 19%. In July, we're actually down – we're seeing us down about 20%, 21%. So, we're seeing it get down to the levels that I think that historically we've seen during downturns year-over-year comps get down into that level of 20%, 21%. So, as we look out to the second quarter, we're expecting that to continue in the second quarter, we're looking at second half is going to be down about 20%. And then when you look at year-over-year comps, you start to see that they get easier also. So that's kind of why we're forecasting that demand is – certainly the comps are going to get better and the year-over-year declines will get a little bit better.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Good. That number that you provided, the down 20% in the back half of the year, you said demand, what specifically you're referring to, which item?
Robert E. Sanchez - Chairman & Chief Executive Officer: I'm sorry. Yes. Sorry, I didn't clarify it. That's tractors. I'm talking about Class 8 tractors on all these percentages.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Got it. So seeing that as it is, if trends do bottom here in the third quarter, obviously you had provided in May the long-term growth outlook, EPS growth outlook of 10% to 15%. So, as you look out, relative to those comments that were made a couple months ago, how confident are you in the ability still to drive to 10% to 15% earnings growth, perhaps as soon as next year, again assuming that we do have that inflection during the back half of this year?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, look, the 10% to 15% is really that three-year outlook that we gave. Next year, exactly what the numbers are – we're not there yet and obviously it's because we don't know yet what's going to happen with demand for the transactional parts of the business. I think just something to keep in mind is if you look at this year, we have headwind from rental and used vehicle sales that equate to about 25% of our earnings. So there's a lot of headwind from those two products just because of the level of the decline we've seen. We certainly wouldn't expect to see that going forward. It's just not – it's not something that we've ever seen two years like that. So, I think you start to get some uplift as we get into next year in terms of just less headwind if nothing else.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Yeah, okay. Thank you.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thank you.
Operator: The next question comes from David Ross with Stifel. Your line is now open.
David Ross - Stifel, Nicolaus & Co., Inc.: Yes. Good morning, gentlemen.
Robert E. Sanchez - Chairman & Chief Executive Officer: Good morning.
David Ross - Stifel, Nicolaus & Co., Inc.: Robert, just to follow-up on your comment about the asset management, with early terminations. You cited higher customer bankruptcies. Can you give a little bit more color on that? Is that any large customers or is it spread around a bunch of small customers, and within that, are there any specific sectors that you it's concentrated in?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, well, it's a mix of smaller and bigger ones, but it's primarily as you might imagine in the trucking business and in the transportation business. We are seeing – as you see in the marketplace, we're seeing some softness there, it's where a lot of the pressure is coming from and we've had a few more bankruptcies there.
David Ross - Stifel, Nicolaus & Co., Inc.: And then just a follow-up on the end markets for Steve at SCS. Looks like we had some industrial strength and consumer weakness, is that anything customer specific or is that how you're seeing kind of the overall economy shape out right now?
J. Steven Sensing - President-Global Supply Chain Solutions: Yeah, from an industrial standpoint, it's really new business growth. Auto the same thing. Seeing a little bit of slight weakness from a tech volume perspective, but overall on track.
David Ross - Stifel, Nicolaus & Co., Inc.: Thank you.
Operator: Thank you. The next question comes from Justin Long with Stephens. Your line is now open.
Justin Long - Stephens, Inc.: Thanks and good morning. So, Robert, I wanted to follow-up on your response to the question earlier. You said that rental and used are going to be an EPS headwind of about 25%. I wanted to clarify, is that based on last year's reported EPS, so we're talking about a little over $1.50 EPS headwind? And if so, is there any color you could give on kind of the breakout of that headwind that you're now assuming in rental and used? I know you gave that EPS bridge at the beginning of the year, I'm basically wondering if you can update those numbers?
Robert E. Sanchez - Chairman & Chief Executive Officer: Well, if you think about that bridge, it's really about $1.30 I would say is what we're getting in headwind. And it's about half and half. It's about half of it's coming from UVS, and about half of it's coming from commercial rental.
J. Steven Sensing - President-Global Supply Chain Solutions: A lot more from rental than what we initially...
Robert E. Sanchez - Chairman & Chief Executive Officer: Right. Initially in rental we had pegged used vehicles we had estimated about $0.62, which were kind of a little bit worse than that. And on the rental side, we had estimated $0.28 and we're going to be in the $0.60 plus range.
Justin Long - Stephens, Inc.: Okay, great. That's very helpful. And secondly, I wanted to ask about how residual values could impact your depreciation expense in 2017 from a high level. If used truck prices play out with what you're expecting this year, it sounds like kind of flattish from here, would the adjustment to depreciation in 2017 be a positive, neutral or a negative? And thinking longer term, if we just assume that used truck prices remain flat after this year, at what point do you start to face a depreciation headwind?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, Justin, I'd say, obviously we're kind of not at that point yet about next year, but I think based on the current pricing level, we're kind of thinking about it more as a push for next year, where you may have upsides in some classes and maybe going the other way in others. But we're thinking overall, it's a push. I think as we look out, our averages at these levels keep in mind are still – the policy is still below what we've been pricing at, what we're seeing in the current marketplace. So I think if prices stay at these levels, I wouldn't envision an increase or a decrease in residual values out over the next four, five years, something like that.
Justin Long - Stephens, Inc.: Okay, great. That's helpful. I appreciate the time.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thank you, Justin.
Operator: Thank you. The next question comes from Scott Group with Wolfe Research. Your line is now open.
Scott H. Group - Wolfe Research LLC: Hey. Thanks. Good morning, guys. So I apologize if I missed this, but do you think you can give us monthly rental demand in the second quarter and July? I guess a little surprised with lowering the rental expectations, just kind of given the pick-up we've seen a little bit in trucking in the past month or so?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, I just mentioned earlier. Primarily on tractors is where you're seeing them, so I'll give you those. It was down. In April it was 14%, in May it was 17% and then 19% in June. And then July I mentioned we're down to about 21%.
Scott H. Group - Wolfe Research LLC: That's rental demand?
Robert E. Sanchez - Chairman & Chief Executive Officer: Rental demand for tractors, for Class 8 tractors, which is really what's driving most of the decline.
Scott H. Group - Wolfe Research LLC: And if I remember, were you saying more like 7% or 8% on last quarter's call?
Robert E. Sanchez - Chairman & Chief Executive Officer: No. That was combined. We base that 7% on a 13% down, 14% down number for tractors.
Scott H. Group - Wolfe Research LLC: Okay, and why do you think you haven't seen any kind of relative improvement there, just as maybe some of the spot markets have picked up over the past six weeks or so?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, I mean, that's encouraging for us. I mean, it just sometimes it could take a little bit. Right? Right now, in the market, it's pretty clear, it's primarily in the trucking and transportation sector. And it's not only that the freight volumes haven't grown to levels we'd like them to, but there's definitely an oversupply of some trucks. So some of this might just take a little bit to bleed through the trucks that are sitting for these folks. And once those trucks are either – either they're out of the system or they're being utilized, that's when we should start to see it help us in rental.
Scott H. Group - Wolfe Research LLC: Okay. And then just on the used truck side, it sounds like the issue at this point is more of a volume than pricing. But does it tell you something that the pricing is low but the volume is not moving? Like, are we still in price discovery and the pricing needs to move lower for the volume to start moving?
Robert E. Sanchez - Chairman & Chief Executive Officer: Well, that's a good question. It's hard to tell, right? I mean, we believe that at these prices we are moving a good amount of volume. Also in a market where if there's not a need for a truck, lowering the price doesn't necessary create that need. So we feel we really haven't dropped the price over the last several months, and we've been able to move the volumes that we've needed to. So, we think this is a reasonable level in terms of pricing. And even if you look at historical levels when they come down, and we've got to keep moderating it.
Scott H. Group - Wolfe Research LLC: Sorry, I thought that you were lowering the used volume expectations.
Robert E. Sanchez - Chairman & Chief Executive Officer: The volumes, yes. I'm saying the pricing; pricing we haven't lowered.
Scott H. Group - Wolfe Research LLC: Okay. All right. Thanks the time, guys.
Robert E. Sanchez - Chairman & Chief Executive Officer: Hang on. Dennis, go ahead.
Dennis C. Cooke - President-Fleet Management Solutions: Scott, I just wanted to clarify that we sold 5,100 units in the second quarter. That's up 9% year-over-year, and tractors were up 13%. So the volume's moving.
Scott H. Group - Wolfe Research LLC: So then why are you lowering the volume expectations?
Robert E. Sanchez - Chairman & Chief Executive Officer: Because again our expectations coming in were higher. But still what I'm saying is 9% up overall and then 13% on tractors. It's up year-over-year; it's just not at the same level that we had expected.
Robert E. Sanchez - Chairman & Chief Executive Officer: We had expected to really be able to increase the volumes in the second half of the year and we're not seeing the ability to do that.
Scott H. Group - Wolfe Research LLC: Okay. I got it. Okay, thank you, guys.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from Kevin Sterling with BB&T Capital Markets. Your line is now open.
Kevin Wallance Sterling - BB&T Capital Markets: Thank you. Good morning, gentlemen.
Robert E. Sanchez - Chairman & Chief Executive Officer: Good morning, Kevin.
Kevin Wallance Sterling - BB&T Capital Markets: I'm sticking to the used volume question. Given you're up on a year-over-year basis, if you had to move any of that equipment into the wholesale market, or have you been able to sell it all in the retail channel?
Robert E. Sanchez - Chairman & Chief Executive Officer: No. We're selling more – we are selling some more in the wholesale market. I think our retail percentage is now about 68% versus last year we were at 74%, 75%. So we are selling some more units in wholesale.
Kevin Wallance Sterling - BB&T Capital Markets: Okay. Thanks.
Robert E. Sanchez - Chairman & Chief Executive Officer: Which is partially what's driving down some of that pricing that we're seeing.
Kevin Wallance Sterling - BB&T Capital Markets: Got you, that makes sense. Thanks, Robert. And then as we look at your lease fleet growth, you're still getting some decent organic growth, and is most of your growth coming from existing customer base or are you still able to add new customers into the fold, even in this sloppy freight environment?
Dennis C. Cooke - President-Fleet Management Solutions: Kevin, it's Dennis. So 40% of our volume is coming from new to outsourcing customers and that's up from about a third last year. So, we're encouraged by the trend.
Kevin Wallance Sterling - BB&T Capital Markets: Okay. Great. Thanks, Dennis. Thank you all for your time today.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thanks, Kevin.
Operator: Thank you. The next question comes from Todd Fowler from KeyBanc Capital Markets. Your line is now open.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Great. Thanks and good morning.
Robert E. Sanchez - Chairman & Chief Executive Officer: Good morning.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Good morning. Robert or maybe this is for Dennis, but can you help us think about the redeployments of used vehicles into the lease fleets? What does the margin profile on the redeployment look like versus a new vehicle? And I think that that's going to push up the average age of the lease fleet and that historically there's been some margin impact for that. How do we think about the margin profile of FMS going forward if there's more used equipment in the lease fleet versus newer equipment?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, Todd, I don't think – obviously we're doing more redeployments but I think in the big scheme of things, I don't think it's enough to move the needle a whole lot on margin. I think the key is really being able to continue to grow the fleet and being able to continue as along with also bringing in some redeployments, we're also bringing in new equipment. I think it's just under 70% of what we're selling is with new equipment. Now it was 80% plus before. But you still got the vast majority of the units coming in that are still new equipment.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay, that helps. I mean so it's not a big enough piece of the equation where it kind of shifts the mix enough that we would see something noticeable on the margin profile?
Robert E. Sanchez - Chairman & Chief Executive Officer: No. No. I don't think so.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. And then I think I have most of this, but just to make sure that I'm clear on it, the reduction in guidance at this point, I mean it really feels like the $0.20 you took out of the back half of the year, that that's predominantly related to lower rental demand, and then a smaller piece related to used vehicle volumes. If you can give us maybe the magnitude of the EPS that's related to those two, I think that, that would be helpful, and then if you have anything in there for share buybacks kind of going the other way or anything that will be offsetting that, that could kind of help us think about some of the magnitude of the operational cut versus some other things going through in the back half of the year?
Robert E. Sanchez - Chairman & Chief Executive Officer: Okay. The split between rental and used vehicles, about two-thirds I would say of it is rental related and the other third was related to used vehicles. What was the second part of your question?
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Robert, is there anything in there from either share buybacks or maybe like reduced incentive compensation or something like that, that's offsetting those, the reductions from rental and used vehicle sales?
Art A. Garcia - Chief Financial Officer & Executive Vice President: Todd, this is Art. We're just going to have – it contemplates the continuation of the anti-dilutive repurchases we've been talking about. And then there's natural reductions and incentive compensation as our results go down. It's kind of already in there.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. I think I got it. Thanks for the time this morning.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from Matt Brooklier with Longbow Research. Your line is now open.
Matt S. Brooklier - Longbow Research LLC: Thanks and good morning. I had a question, first question on the level of vehicles redeployed; I think you said it's up roughly two times in the quarter. I'm trying to get a sense if increased redeployments, if they hurt you in any way, if there's any like negative margin impact, or if from a customer perspective, the customer would rather have a new vehicle versus a used vehicle? I'm just trying to get my arms around if redeployments is potentially a headwind for you, if they are up moving forward?
Robert E. Sanchez - Chairman & Chief Executive Officer: No. Look, I think, Matt, that's a key part of our asset management strategy and it's one of the core competencies that we have. Our ability to take units that are in the rental fleet and idle for other reasons and be able to redeploy them into revenue-earning applications is a real important part of our business model. So net, it's definitely a positive, in terms of overall returns for the company.
Matt S. Brooklier - Longbow Research LLC: Okay. And then within DTS, I think part of the EBT improvement year-on-year was driven by insurance costs moving down. Do you care to quantify how much the insurance delta was a benefit in terms of earnings, and how should we think about insurance costs as we move through the back end of the year?
John Diez - President, Dedicated Transportation Solutions: Hey, Matt. It's John. If you look at the second quarter performance, about a third of that improvement is operations and about two-thirds was the insurance side. That's a little bit more than what we saw in the first quarter, but we are seeing expanding margins in the business and you should expect that going forward.
Matt S. Brooklier - Longbow Research LLC: I mean is the insurance, the benefit from insurance, is that a function of you guys doing things, being a little bit more safe, or is it just a function of how kind of the actuarial assumptions flow through the model?
John Diez - President, Dedicated Transportation Solutions: I would tell you, we've had fairly good performance on the safety side. We could always look to get better and we'll continue to get better, but the majority of what we've seen this year is prior year development on our self-insurance reserves and we've seen that develop favorably for us. So, looking ahead to predict that'd be a little bit kind of shooting a dart in the dark there.
Matt S. Brooklier - Longbow Research LLC: Okay. Fair enough. And just last question, I think the number of vehicles serviced under your on-demand maintenance program I think the total number was down on a year-over-year basis, I think it was up sequentially, but down year-over-year. I was just curious to hear if there was anything specific that drove the number lower, and then how should we think about the potential growth of vehicles serviced in the second half of this year?
Dennis C. Cooke - President-Fleet Management Solutions: Yeah, Matt. It's Dennis. There were two major customers we had who were not coming in for as much maintenance and I think the driver of that was related to just fewer miles being driven as you look at the softness in the freight market. So, I think that was the driver. We actually have more customers coming on board. So, we're still bullish on continuing to grow the volume. The other thing I'd add is that having on-demand maintenance has really enabled what we're doing with our more flexible lease products or ChoiceLease products and there's been some nice momentum there also.
Matt S. Brooklier - Longbow Research LLC: Okay. Good to hear. Appreciate the time.
Dennis C. Cooke - President-Fleet Management Solutions: Thank you.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thanks, Matt.
Operator: Thank you. The next question comes from Brian Ossenbeck with JPMC. Your line is now open.
Brian P. Ossenbeck - JPMorgan Securities LLC: Hey. Good morning. Thanks for taking my call.
Art A. Garcia - Chief Financial Officer & Executive Vice President: Hello.
Robert E. Sanchez - Chairman & Chief Executive Officer: Hi, Brian.
Brian P. Ossenbeck - JPMorgan Securities LLC: I just had two quick ones here. One is for Dennis, you mentioned the 40% of new business in lease coming from customers first time outsourcing. I don't know if you could give us some clarity on what types of business these are, if they're in some type of industry vertical that you found some success relative to last year? Is it in certain geographies? And then maybe are these a lot of singles and doubles in terms of size, or were there any big notable conversions that you've been able to bring into the fold this year?
Dennis C. Cooke - President-Fleet Management Solutions: Yeah, I would say that it's across all the verticals. I can't point to any vertical in particular that stands out. But what I would say is it's really the secular trends that we've been seeing, the complexity of the vehicles, the difficulty recruiting technicians. It keeps playing out and we've got more and more customers coming our way because we're out there with the total cost of ownership tool that you saw at Investor Day. And you couple that now with the flexibility we have with ChoiceLease. It's really leading to quite a bit of interest when you put those together. So again, you're seeing the difficulty that customers have because of the secular trends, you put the TCO in front of them, they like the compelling math that we put in front of them, and then you're flexible with your offering. It's leading to a lot of interest from the do-it-yourself market folks.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. Just a quick follow-up on the technician shortage side from Ryder's perspective, if you can just give us an update on where that stands? I know it's also a tough market, not just drivers for technicians are in short supply.
Dennis C. Cooke - President-Fleet Management Solutions: Yeah, we've got three sources for technicians that we have a lot of success with. First is with the trade schools. We have a great relationship. Next is, we develop our own from the fuel island up. We've got a great training program that our folks take advantage of. And then finally is we partnered with the U.S. Chamber of Commerce with the Hiring Our Heroes program. We've had a lot of success there. So, I'd say is between those three sources, we're good at this. We're able to meet the demand that we see.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay, and just one last quick housekeeping. If you could tell us what's in the mix of backlog and used vehicles, split between tractors and trucks, and I guess trailers, as it's factored into your guidance going forward. It would still be helpful to kind of hear where that is now and kind of relative to where it's been historically.
Dennis C. Cooke - President-Fleet Management Solutions: The used truck inventory?
Brian P. Ossenbeck - JPMorgan Securities LLC: Yes.
Dennis C. Cooke - President-Fleet Management Solutions: Yeah, so where we sit right now – hold on. I'm looking at the sold units. So let's do the real quick math here for you. 48% are tractors, 40% are trucks and the balance is – that was at 12% trailers.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. And versus historical, is that about consistent, in line with what you had previously, or is it a little bit heavier on one or the other?
Dennis C. Cooke - President-Fleet Management Solutions: Hang on one sec. Tractors are a little up. They're up from what we've historically seen.
Brian P. Ossenbeck - JPMorgan Securities LLC: Okay. I guess you'd kind of expect that in the current market.
Dennis C. Cooke - President-Fleet Management Solutions: Yes.
Brian P. Ossenbeck - JPMorgan Securities LLC: All right. Thanks a lot for your time.
Dennis C. Cooke - President-Fleet Management Solutions: You bet.
Robert E. Sanchez - Chairman & Chief Executive Officer: Thank you.
Operator: Thank you. The next question comes from David Campbell with Thompson Davis & Company. Your line is now open.
David Pearce Campbell - Thompson Davis & Co., Inc.: Thanks for taking the question. I want to get a little clarification on your press release near the end, where you say the full-year lease fleet growth is expected to be 4,000 vehicles, up from a prior forecast of 3,500. But you're talking about less revenue growth for the year. I'm trying to figure out why would you be increasing the vehicle fleet in that environment?
Dennis C. Cooke - President-Fleet Management Solutions: No. David, that's just a reflection of the amount of leases that we've signed and in this case, specifically with used equipment. And we are bringing our revenue forecast – now this is versus – you're seeing versus prior year potentially, our fleet growth will be down, up from our prior forecast of 3,500.
Art A. Garcia - Chief Financial Officer & Executive Vice President: And our guidance reduction, Dave, is around really rental softness, so rental revenue is going to be impacted by that. Whereas here we're talking about contractual lease business, so we really want to sign customers up...
Robert E. Sanchez - Chairman & Chief Executive Officer: Right. And those are units that we don't buy until we have a signed lease. So it's just a reflection of the demand that we've had.
David Pearce Campbell - Thompson Davis & Co., Inc.: And it's in full -service leasing, right?
Dennis C. Cooke - President-Fleet Management Solutions: Correct. Absolutely.
David Pearce Campbell - Thompson Davis & Co., Inc.: Full service lease. So, you've increased your forecast from what it was, but it's still down year-to-year?
Robert E. Sanchez - Chairman & Chief Executive Officer: The earnings are down, because of used vehicles and rental. Full-service lease earnings are actually way up and they're the ones that are helping to offset some of that decline.
David Pearce Campbell - Thompson Davis & Co., Inc.: Okay. Great. Thank you.
Dennis C. Cooke - President-Fleet Management Solutions: All right. Thanks, Dave.
Operator: Thank you. The next question comes from Ben Hartford with Robert W. Baird. Your line is now open.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Hey. Some follow-ups, tax rate in the back half of the year. What's assumed in guidance?
Art A. Garcia - Chief Financial Officer & Executive Vice President: Typically, the tax rate is lower in the second half of the year. So we're looking at rates at around 36%.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Is that for the full year or for the back half of the year?
Art A. Garcia - Chief Financial Officer & Executive Vice President: Back half.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Got it, okay. Good. Robert, any perspective you might have on the UK business post Brexit, and what the outlook – how the outlook has changed now that the dust has settled a little bit since the Leave vote?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, I would say hasn't been a significant change out there yet. I mean, we're seeing kind of the similar demand as we've seen. We're signing new business. We're even – we're seeing rental demand. So, I think the longer-term impacts of that we'll have to see as this whole thing plays out. But right now, I think it's basically performing as we had expected.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay. Good. What's...
Art A. Garcia - Chief Financial Officer & Executive Vice President: I would add, Ben, on that, though, that we've seen around Brexit is obviously, there's been some FX change that's going to impact leverage a little bit. And then just the overall – the global interest rate environment has changed. It's come down, which does adversely impact our pension.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Yes.
Art A. Garcia - Chief Financial Officer & Executive Vice President: So the discount rate is going to be lower this year and that's part of what's driving up our leverage target.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Got it. Okay. What is the likelihood that you can maintain double-digit revenue growth in contract-related maintenance here in the back half of the year? You're starting to come up against stronger comparisons. But what's the level of confidence that kind of 10% plus going forward, given some of the efforts that you've made in that segment we can see that?
Dennis C. Cooke - President-Fleet Management Solutions: Ben, it's Dennis. There's interest is what I could say. As you have customers who want to own their vehicles, there's interest in getting maintenance help. And so we're seeing a lot of interest, a lot of demand that's out there. And I'd add to that our flexibility around being willing to do maintenance on-site at the customer site, or to do it mobile-ly is a nice feature that we have for customers who want more flexibility around the maintenance. So I can tell you there's a lot of activity out there with people who are looking for help on maintenance. And I'd add to that, it leads to selling up where once they're doing maintenance with us then the question is, can you help us from a lease point of view. And you get into the ChoiceLease products. So can we continue it? All I can tell us is the interest is strong.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay, good and then the last one, as we start to look toward 2017, some of the preliminary forecasts for Class 8 sales and build are still down 10% to 15% year-over-year. So what's – standing here today, what's the in level of confidence that – I mean you referenced the 40% new outsourcing number quite a bit, what's the level of confidence in declining Class 8 production environment next year that you can still generate positive lease fleet growth?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, I think we feel pretty confident. I think given the – our ability to, as Dennis pointed out, use the total cost of ownership tool to help articulate the value prop for our services, the additional marketing efforts we've had, in addition to that the new products, I mean, Dennis alluded to it, but the ChoiceLease Preventive, ChoiceLease On-Demand, these are just additional products now that are specifically targeted at the ownership market. And we've already had some success with them, where we've customers that otherwise would not have leased and would not have come to Ryder, that are now coming to us because we're offering these. So we think the ability to take those additional products, to leverage the progress we've made in sales and marketing, are really going to help us continue to drive growth even in an environment like that.
Ben J. Hartford - Robert W. Baird & Co., Inc. (Broker): Okay. That's good. Thank you.
Robert E. Sanchez - Chairman & Chief Executive Officer: Okay.
Operator: Thank you. The next question comes from Todd Fowler with KeyBanc Capital Markets. Your line is now open.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Thanks for taking the follow up. I just wanted to ask on rental activity, particularly for the fourth quarter, I think in the last several years, you provided some flex capacities to some of the large for-hire fleets around kind of the holiday season in e-commerce. I'm curious if you've had conversations with those fleets at this point, and kind of what the expectation would be for that demand this year versus the prior years?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, we start talking to them right about now. I mean it's still kind of early. But we're expecting, again, to continue to see some demand from them this year and we'll continue to provide them those vehicles.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Robert, do you think that, that would be something that would be up year-over-year, or is that something that would maybe be consistent with where it's been in prior years? And I know that the markets have been shifting, and how some of the larger fleets are kind of adapting to that. I'm just kind of curious to get your maybe what's in the guidance for your expectations around that sort of demand?
Robert E. Sanchez - Chairman & Chief Executive Officer: Yeah, I would say within the guidance is flat with last year.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay.
Robert E. Sanchez - Chairman & Chief Executive Officer: So if they were to come in for more, that's not currently in there. But what we've got in there is kind of consistent with last year.
Todd C. Fowler - KeyBanc Capital Markets, Inc.: Okay. Those are some helpful thoughts. Thanks again for the time.
Robert E. Sanchez - Chairman & Chief Executive Officer: Okay.
Operator: Thank you. At this time, there are no additional questions. I'd like to turn the call back over to Mr. Robert Sanchez for closing remarks.
Robert E. Sanchez - Chairman & Chief Executive Officer: Okay. Thank you, everyone. Thanks for being on the call and I know we're going to be out at different conferences and road shows, so look forward to seeing you then. Have a safe day.
Operator: Thank you. That concludes today's conference. You may disconnect at this time.